Operator: Hello, and welcome to the Orange Fiscal Year 2025 Financial Results Conference Call hosted today by Koen Van Mol, Xavier Pichon and Antoine Chouc. Please bear in mind, this call is being recorded. [Operator Instructions]. I will now hand you over to your host, Koen Van Mol, to begin today's conference. Thank you.
Koen Van Mol: Thank you, operator. Good morning, everyone, and welcome to Orange Belgium H2 2025 Earnings Call. My name is Koen Van Mol. And with me today are Xavier Pichon, our CEO; and Antoine Chouc, our CFO. They will walk us through the company's performance as well as the strategic initiatives for the second half and full year of 2025. After the presentations, we will be open -- we will open the floor for questions. And now I will pass the floor to Xavier.
Xavier Pichon: Thanks, Koen. Good morning, everyone. Thank you for joining us today as we present Orange Belgium's financial results for the second half and the full year of 2025. So as we look back at the second semester and full year of '25, I'm pleased to report that we are on track with our Lead the Future strategy. We made significant progress across key areas, including network leadership, digital transformation and customer experience. Let me start with some key highlights. At the start of the second semester, we signed an MoU with Proximus to access each other's infrastructure and improve access to gigabit networks in Wallonia. This collaboration will enable us to provide access to high-speed connectivity to our customers while optimizing our investment spend. In the meantime, we continue to extend and to upgrade our gigabit fixed network to meet the demand on our customers for the high-speed Internet. Recently, our network leadership has been validated by Ookla, recognize Orange Belgium as having the fastest 5G network in Belgium, reflecting our commitment to superior mobile performance. Over the past semester, we have observed a consistent improvement in the customer experience, which directly reflects the dedicated efforts and strategic initiatives we have implemented to enhance this aspect of our service. In parallel, we actively encourage our customers to migrate to the new portfolio and the reasons demonstrates its attractiveness and the value it offers to our customers. From an environment perspective with our efforts have resulted in a 6% year-over-year reduction in CO2 emissions, encompassing Scope 1, 2 and 3 emissions, reflecting our commitment to sustainability and environmental responsibility. Also, we launched the Smartphone Pass, empowering parents in digital education and increase our digital inclusion beneficiaries by 30% compared to '24. Slide #6. So in a natural, turning to commercial results. Our performance in H2 '25 was very encouraging. Our mobile postpaid customer base grew by 2.5% year-on-year, reaching 3.5 -- 3.55 million customers with net additions of 38,000 during the semester. This growth was driven by the continued appeal of our customers' offers and targeted promotional campaigns. On the fixed side, our cable customer base increased by 1.8%, totaling roughly 1.04 million customers reflecting the success of our convergent offers and high-speed connectivity. For the full year, our revenue performance was slightly below last year with total revenues at EUR 193 million, down 1.5%. This decline was partly due to the nonrenewal of Belgium cable rights as well as a decrease in low-margin activities such as incoming SMS. However, our EBITDA grew by 3.4% within EUR 566.1 million, supported by synergies from the VOO acquisition and ongoing cost efficiencies. Our CapEx increased modestly by 1.8% to EUR 376 million rough million, reflecting investment in RAN sharing, 5G deployment and gigabit network expansion. These investments are crucial to provide the optimal customer experience we want to offer. These results show the strength of our strategy, the quality of our execution and the dedication of our teams. At this point, I'd like to hand over to our CFO, Antoine, who will provide a deeper dive into our financial performance and explain our guidance for '26.
Antoine Chouc: Thank you, Xavier, and good morning, everyone. Let me take you through the details, starting with the evolution of our revenues on Slide 7. So as shown on the slide, I hope you can see it on the stream, our total revenues declined slightly by 1.5%, partly due to the nonrenewal Jupiter Pro League football rights, which impacted the service revenues. Service revenues from convergent offers increased by 3.8%, reaching EUR 634 million, while mobile service revenues declined by EUR 6.7 million -- 6.7% to EUR 563 million, reflecting ongoing market dynamics. On Slide 8, let's zoom on the EBITDAaL evolution. On the cost side, we maintained tight control of our expenses throughout the year. Our direct cost totaled EUR 636 million, reflecting disciplined management and ongoing efficiency initiatives. Indirect costs amounted to a bit less than EUR 500 million, which is down 6.2% compared to last year. This reduction was driven by our continuous effort to optimize overheads, streamline processes and of course, leverage synergies from the VOO integration and several other operational improvements. All these cost control measures contributed significantly to our EBITDAaL growth. For the full year, EBITDAaL increased by 4%, reaching EUR 566 million, which is slightly above our initial guidance range. This growth was primarily fueled by the realization of energy from the VOO acquisition, which helped reduce operating costs as well as ongoing efficiency measures across network and corporate functions. Furthermore, our focus on operational excellence allowed us to offset some of the pressure from market dynamics. And finally, the nonrenewal football rights supported the improvement in EBITDAaL. This solid financial foundation demonstrates our ability to generate strong cash flow and maintain a healthy balance sheet. Now let's move to Slide 7 regarding eCapEx. For the full year of 2025, our CapEx, excluding license fee totaled EUR 376 million represented an increase of EUR 2.1% year-on-year. This reflects our continued investment in key strategic carriers. A significant portion of the spending was allocated to the implementation of the renting program, which is critical to optimizing our network infrastructure, accelerating our 5G deployment and reducing our costs. We also invested in upgrading our cable network and began the initial stages of our FTTP rollout. Let's move to Slide 7 -- 10 sorry. Consolidating our results, we can confirm we are well in line with our guidance for the full year of 2025. Thanks to the important efforts we've made, we slightly exceeded our EBITDA guidance and achieved EUR 566 million, as said, which is slightly above the range between EUR 545 million and EUR 565 million. And with an amount of EUR 376 million in eCapEx, we are exactly in the middle of our bracket, which was between EUR 366 million and EUR 385 million. All in all, we have well achieved the guidance we had established beginning 2025. Let's move to Slide 12. Looking forward in 2026, we expect an increase in our EBITDA by around 3.5% in comparison to 2025. And we also forecast a decrease of our eCapEx and that will reach approximately EUR 360 million. I'd like to conclude this presentation on a more personal note because today marks my final conference as CFO here as I'll be taking the role of CFO of Orange France as from April 1. I'd like to say how honored I've been to serve as CFO during this pivotal years for Orange Belgium. It's been a pleasure to engage with the analyst and investor community over the past few years. Thanks for challenging us and pushing us to do better and a special thanks to the most dedicated among you who continue to follow us despite the lower liquidity of the stock. I'm very proud of what we achieved together with the team over the years. We strengthened Orange Belgium financial profile and profitability. We've always been very disciplined on execution and we have now a clear road map for sustainable value creation. I'm absolutely fully confident that Orange Belgium strengthened by the acquisition and the successful integration of VOO is very well positioned to tackle all the challenges ahead and I wish all the best to the Executive Committee and all the teams. With that, I'd like to conclude my presentation, and we'll be more than happy to answer all your questions.
Koen Van Mol: Thank you. We will now the Q&A session where you have the opportunity to ask questions regarding the results. Operator, may I ask you to open the floor for questions.
Operator: [Operator Instructions] First caller, please go ahead.
David Vagman: David Vagman for ING. The first one on the 2026 EBITDA guidance. So can we discuss its key building blocks? So looking at incremental cost savings synergies, pricing revenues and also football rights. I guess it's quite some degree of uncertainty there, but what have you modeled basically there? So that's my first question. Second one, you talked a little bit about the fiber investment and FTTP investment. Should we expect significant start, maybe not in 2026, but then when should we expect, let's say, then to come and you have the drop in RAN sharing investment. But so basically, how should your CapEx evolve in the coming years? And then the last question, maybe more for Xavier, looking multiple commercially and strategically. So what are you hoping for Orange Belgium in the long term? So when you joined, I think you were very bullish on fixed and market share, if I remember correctly. Now of course, you have a high chance of achieving very significant wholesale fixed revenues in the South. So has your view changed on what Orange should do or not do?
Antoine Chouc: Okay. So I'll maybe take the first 2 questions, and then I'll leave Xavier answer to your third question. Regarding the main building blocks of our EBITDAaL growth expected for next year. Clearly, the main driver is an increase in VOO's -- synergies coming from VOO acquisition. We're still -- we still have some room for such an increase over -- and I think we will reach kind of plateau for this synergy in 2028. But so we still expect a growth of, let's say, EUR 15 million of synergies next year that will fuel our EBITDAaL growth, and we have many other cost efficiencies that will also help us on top of these synergies. We will also be helped by a slight increase that we expect in our service revenues. 2026 will be the year where we will be back to growth. It will be fostered by the good commercial dynamics, especially on mobile, but also thanks to the price increase that we announced that we launched and implemented at the beginning of the year. And yes, football rights could also contribute to this EBITDA growth, but is there still some uncertainty as you know, regarding whether or not it will be renewed and at what price. There are still discussions ongoing, and we will be more than happy to continue the distribution of this football rights for our clients. We can do that. We will only do that if we can reach a good and healthy financial agreement with DAZN. When it comes to CapEx, as you can see, we announced and we commit on a decrease of our CapEx for next year. So clearly, we will start -- we will increase our FTTH deployment, but it will remain quite limited in 2026. So no big change expected. It will be -- it will still be year for some kind of a preparation to lay the ground for an acceleration from 2027, 2028. So we will have an increase in our FTTH rollout pace from 2027. And maybe I can let Xavier answer to your third question.
Xavier Pichon: Thanks, David, for your specific question. On the goal we've had, I would say, 5 years ago, actually, this is exactly what we did. So we did what we announced. Of course, we did it for most of the numbers while we acquired VOO in the South. When we arrived 5 years ago, we were a whole buyer for the nationwide, I say. Since we bought VOO, now we became full MNO in the South, which is not, of course, the case in the North. But we're happy with Wyre and Telenet, of course, in the North, but this is not the same, I would say, situation between the -- between the 2 regions. In the South, we are quite now a core leader with roughly 40% market share on the fixed and convergent area. So this is what we aim to do in the sales. And now, of course, nationwide, we need to deliver also growth -- organic growth in terms of net acquisition, which was not the case in '25. You're right, I would say. And this is something also we've chosen to do pragmatically, seeing the market, seeing, of course, the value-driven strategy we're having since now years, okay, we decided not to, I would say, follow others and to make sure that the value generation was according to our plan. So of course, this is something we also -- we worked on through the head now. We see most of the peers also generating volumes on lead-ins. This is, of course, what we did, but we decided to smooth a little bit thanks to the value policy we're having.
Operator: Ladies and gentlemen, we currently have no questions coming through. [Operator Instructions]. Well, there are no further questions. So I will hand you back to Koen to take questions from the webcast. The floor is yours.
Koen Van Mol: We still have some questions on the chat. So the question is twofold. Could you please zoom in on the time line to operationalize the fiber collaboration with Proximus? And second question, the mobile -- zoom in on the mobile competitive situation overall and specifically the evolution of the churn rate to Digi.
Xavier Pichon: So maybe on the first one. So we are having, I would say, some discussion with the authorities here in Belgium locally, of course, BIPT and ABC. So this is something we are, I would say, working on at the moment for the South, of course. There is also requirement on the market, depending on the North as well. So this is something we have worked on as well. So we are not, I would say, be on the driver's seat for that, but this is something that has been discussed with the authorities. Normally, they should give a statement on these agreements by the end, I would say, by the end of the year of '26. So of course, this is something we are waiting. And then afterwards, we'll see, of course, how to make sure to implement this agreement as soon as we can. For the question #2, Digi?
Koen Van Mol: The mobile competitive situation overall and focus specifically on Digi.
Xavier Pichon: So on the market, this is maybe a bit different on the mobile side because you know that since Digi came, I would say, at the end of '24. So we've put a dedicated policy to make sure that our market share will be, of course, sticking to what it was previously. So we decided to align hey, I would say, to the first Digi offers late '24 and early '25. Since the -- I would say, not so present in the market. So we decided to join the value policy we are having, I would say, broadly, including of course, the fix we've just discussed, but also on the mobile side. So this is why we haven't seen, honestly, so much churn from Orange to Digi so far. So this is something, of course, which is very scrutinized within the company. So, so far, I would say, so good for Orange. So this is it for the moment and we see, of course, for '26, what will happen on this dedicated market.
Koen Van Mol: Okay. In the meantime, another question came in. So are you seeing much fiber deployment from Digi? Do you think Digi will be credible FMC competitor over the medium term?
Xavier Pichon: I think in Belgium people who are familiar with -- so this is something that is organized, I would say, locally. So we are dedicated. We are having -- all the peers are having dedicated tools, technical tools where we need to announce and of course, say what we will do in terms of fiber rollout and all the civil works. So yes, we see Digi, coming in some dense areas in, I would say, around some cities. But this is not something we are focused on, actually. We are having our own strategy. We are having our own now 4 gigabit and modernized network in the South. We are relating -- we are related to Wyre and Telenet in the North. So this is something that is, of course, very precious for us as we are having the most, I would say, integrated and gigabit proposal nationwide, of course, with satellite on top. So we are much more focused on what we are doing actually.
Koen Van Mol: And another question from the chat. Any comments you can make on the mobile and fixed ARPU in 2026? You have said you hope to go back to growth on service revenues.
Antoine Chouc: Yes, sure. As you know, we don't disclose our ARPUs anymore and of course, not forecast in our ARPU evolution. But what I can say is that, yes, we plan to be back to growth in B2C retail despite the market pressure and we -- that's -- and we are quite confident that we'll be able to achieve this goal. I would say a low single-digit growth.
Xavier Pichon: But back to growth.
Koen Van Mol: Okay. There are no further questions in the chat. So we can conclude this analyst call. We would like to thank you for your participation. Would you have any follow-up questions, please to contact the IR team for any additional questions you may have. Thank you very much, and have a good day.